Guillaume Daniellot: Okay. Good morning or afternoon to all of you and thank you for attending the presentation on Straumann Group's Full Year Results. It's a great pleasure to welcome some of you here in Basel at our headquarters. Please take note of the disclaimer in our media release and on Slide 2. Through this conference, we will reference the presentation slides that were published on our website earlier this morning. As always, the presentation and discussion will contain forward-looking statements. The conference will follow the usual format. As shown on the agenda on Slide 3, I will first give you an overview of our strong full year and fourth quarter performance. And then Yang Xu, our CFO, will share details about the financials. After that, I'll provide you with an update on strategic initiatives and our outlook. As always, we will answer your questions at the end of the presentation. Let's move directly to Slide 5. Before we talk about financials, I would like to highlight that we have created more than 6.7 million smiles in 2024. In other words, together with dental professionals, we supported 20% more people improving their oral health and confidence than in previous year. With this, we keep delivering on our purpose and are fully on track to achieve 10 million smiles annually by 2030. Moving to Slide 6. I'm very pleased to share the strong results we achieved this year despite the geopolitical tensions and macroeconomic uncertainties, which we faced in 2024. Thanks to the team's relentless customer focus and commitment to innovation and education. We achieved an organic revenue growth of 13.7% or CHF2.5 billion for the full year. The fourth quarter was also strong with CHF645 million in revenue, which translated into an organic growth of 11.5%. While we continue to invest significantly in capacity expansion, in our team members, and in our digital transformation, we delivered a core EBIT margin of 27.6% at constant 2023 currencies or 26% considering the significant currency headwinds. Looking at 2024, I would like to mention three highlights. The first one is clearly the performance of the EMEA region in the fourth quarter. Its double-digit organic revenue growth of 12.3% was driven by robust contributions across all businesses. The second highlight was the launch of the premium next-generation implant system iEXCEL in North America and in some selected EMEA markets where clinicians provided excellent initial feedback. I will tell you more about it later. And the third highlight is our employee engagement score of 82 in 2024 that places us among the top 10% of companies surveyed worldwide. It's testament of the unique Straumann Group culture, fostering a customer-centric entrepreneurial mindset and a commitment to deliver superior performance. This strong culture is instrumental for keeping a high pace in expanding market share. This is why we are confident about our continuing strong performance despite a continued uncertain macroeconomic environment, which leads me to our outlook. In 2025, we aim to achieve an organic revenue growth in the high-single-digit percentage range with 30 basis point to 60 basis point improvement of the core EBIT margin at constant 2024 currency rates. With this, let's have a look at the regional development on Slide 7. Through the year, regional performance reflected a broad-based share gain globally in an environment with continued varied patient flow. I have always mentioned the excellent performance in EMEA where we grew across all business segments. In implantology, the challenger brand stood out with double-digit revenue growth while Straumann's premium segment continued to gain market share with first successes following the Q4 iEXCEL launch in some markets. Orthodontics also made a significant contribution driven by strong execution and a more targeted approach to both specialists and general dentists. In North America, we continue to gain market share in the premium and challenger segments within a demanding macroeconomic environment and persistently soft consumer demand through the year, with a stabilization during the fourth quarter. Our strong execution in the region coupled with the growing traction of the recently launched iEXCEL implant system and the solid performance of our challenger brands Neodent drove sequential quarterly growth in the fourth quarter. The orthodontics segment faced headwinds due to the soft demand, while our digital business maintained its strong growth momentum. In Latin America, the region continued its consistent growth path driven mainly by the implantology business and namely the challenger brand Neodent with Brazil, Peru and Argentina showing strong revenue growth. The premium implantology business also contributed to the excellent results. A key highlight for the year was the performance of the orthodontics business. ClearCorrect expanded across the LATAM region and gained significant market share fueled by high-double digit growth in Brazil and strong momentum in Mexico. Finally, Asia-Pacific was the fastest growing region with an organic growth rate of 33.3% in 2024, maintaining a very solid growth in the fourth quarter despite high comparison base. Growth in China was driven by the patient flow unlocked from the volume-based procurement initiative that's boosted awareness and made implant procedures more affordable. We gained significant market share in this growing market thanks to our commercial strategy, strong execution, intensified go-to-market activities and increased education efforts. Outside China, the APAC team also achieved excellent results through the year and double-digit revenue growth in the fourth quarter, gaining market share in mature market like Japan and Australia and in dynamic emerging markets such as Thailand, India, and Vietnam. With this, I hand over to Yang to provide additional detail on the financials.
Yang Xu: Thank you, Guillaume, and hello everyone. I would like to remind you that following our sale of the DrSmile business in September 2024, we reseeded our financials according to the IFRS requirements. So the financials I walk you through today refers to the continuing operations. On Slide 9, our full year revenue reached about CHF2.5 billion, which corresponds to an organic growth of 13.7%. The FX effect for our full year amounts to CHF100 million showing the currency headwinds about 5% on our top-line. The effect of mergers and acquisitions added CHF25 million following the acquisition of our distributors in Baltics, Poland and AlliedStar in China. This resulted in an adjusted full year revenue basis of CHF2.2 billion. Thanks to our broad-based share gain. The Group posted double-digit growth globally reflecting the strength of our strategy, the regional expansion, and a diversified portfolio. Slide 10, takes us to an overview our performance by business segments of the year. Advancement in implantology, orthodontics and digital solutions reinforced our position as a leader in oral care. The implantology segment we achieved double-digit growth. Our premium brand Straumann grew globally and was further boosted by China hosted VBP program. Our challenger brands Neodent, Medentika, and Anthogyr all continue their geographic expansion journey and grew double-digits. In the orthodontics segment, our ClearCorrect brand also saw double-digit growth in 2024, with strong performance especially in EMEA and LATAM. The digital business also performed very strongly throughout the year including the fourth quarter despite a very strong comparison base. The launch of the new Strongman series intraoral scanner in the fourth quarter further complemented our digital portfolio offering. On Slide 11, I will walk you through our gross margin development. Our core gross margin was 71.4% in 2024. Currency adjusted this represents a margin contraction of 240 basis point. As expected, the portfolio mix impacted by product, geographical, and customer diversification represented about 80 basis point. The China full year VBP effect and our investment in the Shanghai campus result in a year-over-year 90 basis point effect. Other impacts including further investments in orthodontics treatment planning, supply chain digitization, and capacity expansion had an 80 basis point impact and partially offset by small productivity gains. This result in a currency adjusted gross margin profit of CHF1.79 billion or an increase of 11% versus prior year driven by strong revenue growth across all business areas. Now let's move to Slide 12. Our core EBIT at 2023 currency rates reached to 27.6%, despite a lower gross margin and significantly increased investment in go-to-market initiatives, people, and digital transformation. Considering the currency headwinds of 160 basis points, our 2024 core EBIT margin at actual FX reached about 26%. To put our profitability into perspective based on our ambition that we presented at Capital Market in 2021, the core EBIT margin would have been more than 32% at constant 2021 FX rates. The Group's core distribution expenses including salesforce and logistic cost rose by 40 basis point as a strong investment to sustain high growth. Core administrative expenses including digital transformation investment, marketing, research and development and general overhead rose by 90 basis points. As a percentage of revenue, core administrative expenses declined by 110 basis points compared to the prior year, thanks to our operational leverage. Now, let's have a look at our cash development on Page 13. Our free cash flow amounted to CHF373 million or 14.9% of revenue. Cash from operations is CHF539 million, CHF35 million higher than last year, mainly driven by net profit expansion, offset by changing net working capital and income tax paid. Cash flow from investing was driven mostly by CapEx investment and M&A activities, including earnouts. Cash from financing was mostly driven by our dividend payouts. The Group's balance sheet remains very strong; with cash on hand CHF375 million at the end of the year, well exceeding our debt position of CHF200 million outstanding bond. Turning to Slide 14. Let's take a closer look at our core financials. For full clarity, you will find the year-on-year comparison on our reported IFRS basis as well as the core reconciliation table in the appendix of this presentation. More details can be found in the Annual Report. Net financial expenses amount to CHF27 million reflecting currency hedging cost and the currency losses in the Group's main exposures and the year-over-year improvement primarily reflect a stabilizing currency environment and enhanced hedging program. Income tax now reflect the full effect of bps 2.0. Core net profit amounted to CHF502 million, sustaining a high margin of 20% of revenue. FX adjusted basic core earnings per share increased by 15% at CHF3.14. On Slide 15, we remain committed to our longstanding successful capital allocation principles. As a growth company, our first priority is to reinvest in sustainable organic growth for the future. We also aim to maintain a strong balance sheet through economic cycles and strategically deploy capital for mergers and acquisitions to accelerate our strategy. Lastly, we're committed to maintaining and gradually increasing the absolute dividend amount in line with earnings growth. This leads me to Slide 16. Based on the strong 2024 results, our Board of Directors proposes a dividend of $0.95 per share, which is subject to shareholder approval and payable on April 16, 2025. CHF0.38 of the CHF0.95 are proposed to be paid from the capital contribution reserve. This year's dividend represents an increase of about 12% and a core EPS payout ratio of about 30%, which is in line with the capital allocation principles I just presented. And with this, I hand back to Guillaume.
Guillaume Daniellot: Thank you, Yang. And let's move on to Slide 18 straight away. The implantology market continued to grow in 2024 to around CHF6 billion, thanks to improved patient awareness, increased affordability and growing accessibility to implant treatments. Our strong innovation and execution capabilities led to strong growth in both the premium and challenger segments and consequently, we gained significant market share in the overall implantology segment moving up from around 32% to 35% globally. As you can see on Slide 19, the implantology market remains significantly underpenetrated offering a vast growth potential. Spain with its large number of surgically trained dentists and a dynamic DSO presence driving increased affordability, serves as a valuable benchmark for evaluating average implant treatment penetration. Using Spain as a reference, we see significant potential for growth in both developed markets such as France, Germany, and the U.S. as well as in emerging market like India. We are then confident that market penetration will continue to rise. This growth is driven by increased patient awareness of dental implant treatments, a growing number of surgically trained dentists who can place implants in all geographies and more accessible treatment cost. These factors will further accelerate market expansion and we are well-positioned to capture this opportunity. A good example actually is China where the three elements mentioned above unlocked by the implementation of the VBP have increased implant penetration considerably, but the overall penetration is still remaining very low. Let's move on to Slide 20. Beyond implantology, we are also dedicated to capture growth opportunities in other segments within our total addressable market of CHF20 billion. To win market share in the clear aligner segment, our ClearCorrect team has continued to strengthen its value proposition by enhancing patient outcomes and clinical efficiency, supported by ongoing software upgrades and further investment in treatment planning and education. The CADCAM equipment segment, we primarily capture market opportunities with our intraoral scanner portfolio at different price points to capture the various customer needs. We also see significant growth opportunity in the large custom made prosthetic market, which we aim to capture through dedicated product offering in key markets. Our digital platform Straumann AXS will be the key enabler, seamlessly integrating our recently launched prosthetic solutions such as UN!Q and Smile in a Box. To summarize, we have a 12.5% overall market share in an underpenetrated market and our consistent strategy and investments put us in a position of strength to significantly grow in the short, mid and long-term. Let me elaborate on our strategic focus on Slide 21. Our strategic compass is designed to capture the market potential I just talked about. Innovation, education, and digitalization are our key pillars to unlock these opportunities and I'm pleased that we made strong progress in 2024 along all these three dimensions. Let's start with innovations in the premium implantology segment on Slide 22. As said many times before, innovation is critical to expand the market and gain market shares. We can achieve this by creating superior and differentiated value propositions, supporting clinicians pushing clinical boundaries on the one side and increasing their practice efficiency on the other side. Our latest innovation, the iEXCEL implant system has two critical differentiators. First, it improves clinical performances with a unique and clinically proven Roxolid material that delivers better mechanical properties than titanium, allowing for implants with a smaller diameter. It enables clinicians to place implant with minimal invasive procedures, reducing overall treatment cost per patient. In addition, our unique SLActive surface allows for faster osseointegration supporting long-term high success rate. Secondly, before the introduction of iEXCEL, implants for different bone densities required separate instrument sets and prosthetic connections, complicating procedures and inventory management for most dental practices. iEXCEL solved these issues by unifying four implant design under one system, allowing clinicians to use only one single instrument set for all indication and the same torque fleet connection reducing significantly inventory needed in each practices. Based on this strong value proposition, iEXCEL will be a key driver for future market growth and initial feedback from clinicians has been very positive. Now let's move to Slide 23. On top of implants per se, we also have unique innovative solutions that support clinicians in the best possible way to provide successful implant treatment outcomes, enhance their standard of care and drive their dental practice efficiency and growth. This includes the newly launched SIRIOS centralized scanner that provides excellent handling and precise dataset and is fully integrated into the Straumann AXS digital platform to facilitate treatment planning. To support dentists in real-time during surgery, we also recently launched Falcon, a unique compact dynamic navigation system clearly prefiguring what implant placement will be in the future. Along with GalvoSurge, this helps prevent implant loss while preserving healthy tissue. These solutions contribute to support clinicians achieving better clinical outcome and especially position Straumann as the leading brand for implant therapy. Now, let's have a closer look at Slide 24 and talk about how we can expand our market share with our challenger brands. Innovation is actually also driving growth in the value segment. Two important Neodent innovations are the proven ZI ceramic implant system and the Grand Morse which comes with a guided surgery system. In 2024, Neodent further advanced its offering for ZI by complementing it with the ZI guided surgery, providing a more convenient and predictable approach to placing psionic implants. Now, let's talk about the second growth pillar beside education -- beside innovation, which is education and move to Slide 25. Education is crucial for both clinical excellence and for growing the still significantly underpenetrated implantology market. In 2024, we considerably expanded our educational efforts by conducting 12,000 activities globally, reaching more than 400,000 dental professionals with a variety of formats, from hands on workshops to virtual courses. To drive clinical education and research, the Group continues to cultivate its strong relationships with scientific partners like the ITI; International Team of Implantology that alone counts more than 25,000 members worldwide. ITI held its World Symposium in Singapore in May, its largest dentistry congress to-date with Straumann as sole partner. Our global challenger brand Neodent strengthened its partnership with the Latin American Institute of Dental Research and Education, named ILAPEO a recognized center of excellence in dental clinic practice, research and education. In 2024, more than 800 dentists were trained with ILAPEO’s unique approach that combined theoretical knowledge together with live surgeries. Those partnerships and continuous education activities offered to clinician worldwide help to grow the industry as the limited number of trained clinicians who can place implants is still a constraining factor to capture the vast amount of patient in needs of implants. Let's move on to Slide 26 to have a closer look at China, which is a strategic market for us. As we have seen, China is a massive yet largely underpenetrating market. The implementation of the volume-based procurement initiative has had a long lasting impact by boosting awareness and making implant treatments more affordable. In 2024, market penetration almost doubled, but it's still at a very early stage of development and we see significant growth opportunities ahead, which are supported by the large population and the aging trend. To capture these opportunities, we significantly invested in education, go-to-market activities and of course in local production. The ramp up of our Shanghai campus is well on track with the first product being registered and produced. We expect to start full production for China VBP product in the second half of 2025. Beside increasing access to care through our education, another important element is to support treatment affordability to ensure an effective global market penetration strategy. This is what we are achieving through our specific multi-brand and multi-pricing strategy. As we see on Slide 27, the Group's multi-brand strategy helped us build our global market presence across various price points and has been crucial for sizing growth opportunities in the underpenetrated implantology market. By segmenting our global brands into premium, challenger, and eco challenger, we diversified our portfolio overtime to effectively meet diverse customer and patient needs, maximizing market coverage and maintaining high growth space despite regional patient flow fluctuations. Now, let's have a look at orthodontics on Slide 28. In orthodontics, our global brand ClearCorrect keep on improving its capabilities to further better response to clinician expectations; firstly, by enlarging our clear aligner treatment planning expertise and capacity through a new hub in Costa Rica. Secondly, with software upgrades such as ClearPilot 9.0, which enables clinicians to treat more complex cases, enhances patients’ outcomes and optimizes dental workflows. Furthermore, continued investment in education including the training of thousands of dental professionals in 2024 contributed to the broader adoptions of the ClearCorrect brand mainly among general practitioners. Just as in orthodontics, a full digital end-to-end workflow is a key driving force in transforming the entire industry, which I want to talk about on Slide 29. To increase efficiency for clinicians, we have developed our own open cloud-based collaboration platform Straumann AXS. This platform is designed to support the clinician journey from data acquisition, diagnostics to treatment planning, patient conversion, the procedure itself and post treatment registry, all our offerings will be seamlessly integrated to simplify the workflow and significantly improve practice efficiency. We have already started integrating AI also into these process steps to further enhance performance. This will support our customers on their clinical journey, fostering greater loyalty to our solutions and services. Let's move to Slide 30 and I want to highlight the importance of the people dimension as this is by far the most critical factor in driving digital transformation in general and when it comes to digital adoption with our customers. This is why more than a year ago, we launched our internal education platform EDGE!UP. In 2024, we led the foundation and empowered over 1,000 colleagues across the world to enhance their digital proficiency and learn new skills through leader led workshop, peer-to-peer learning and online courses. The program is now evolving with dedicated ambassadors in each area of the organization and specific initiatives for targeted functions. On top of that, we recently launched the EDGE!UP for sales program to equip our salesforce with consultative selling skills for digital solutions and services. We are really convinced that a digital mindset in execution is the key condition for becoming the digital powered oral care company we are aspiring to be. And this brings me to Slide 31, our high performance Player-Learner culture is a critical driver of our company's success, a strength that was evident in last year global Glint employee survey results where we achieved a remarkable engagement score of 82 placing us among the top 10% of companies surveyed worldwide. A high engagement score is an essential factor for excellence in execution, a strong culture aligns team, drive accountability and sustains a high performance mindset, which was critical to get where we are today and will remain instrumental for keeping a high pace in expanding our market shares. With this, I'm also pleased to announce our new Executive Management Board Member, Alexei Costa. He recently started as our new Executive Vice President for Latin America and President of Neodent. Alexei has 20 years of leadership experience in the healthcare and medical device industries, having held senior roles at Carestream and Philips. He has a proven track record in strategic marketing, business developments, and driving operational excellence across global markets. We wish him, of course, a lot of success in his new role. Moving on to Slide 32, we made tangible progress on our sustainability targets, of which I would like to highlight just a few. We already mentioned the 6.7 million smile we supported 20% more than last year. We are also very pleased that we conducted 40% of our educational activities in low and middle income countries, an increase of 12 percentage points. We also achieved our target of reaching 100% renewable electricity using globally at our manufacturing sites. With this and reducing our emission by 19%, we are fully on track to reach our 2030 and 2040 climate target. On Slide 33, I want to talk about the significant investment we make to drive future growth. Let's start with innovation and technology first. On the customer side, we are continuously investing in products, solutions, and technology to enhance our digital platform AXS. At the same time, we are simplifying workflow and improving care delivery for both clinicians and patients which includes strengthening our orthodontic treatment planning capabilities, making treatment more efficient and accessible. Internally, we are leveraging technology to optimize processes and drive synergies, reinforcing our ability to scale effectively and sustain our growth momentum. Second, the largest share of our capital expenditure goes into expanding production capacity and strengthening our supply chain, which is critical to keep up with the growing demand. A major milestone is the foundation of our third Neodent factory in Curitiba, Brazil, which is scheduled to be operational by 2026. This investment along with other supply chain enhancements, ensure we can support our ambitious growth trajectory and continue delivering high quality solutions at scale. And third, beyond technology and infrastructure, investing in talent development and expertise is a core priority. We have expanded employee development initiatives globally with a strong focus on go-to-market strategy, culture, leadership and digital skills. To support our growth, we have significantly expanded our workforce, particularly in production and commercial roles. As a result, our global team is now approaching 12,000 colleagues, reinforcing our ability to innovate, execute, and lead in the market. Looking ahead, we remain committed to investing in digital transformation, capacity expansion and talent development to sustain our long-term growth. With this, let's move forward to our outlook on Slide 34. Excuse me. We enter 2025 from a position of strength backed by a diversified portfolio, a strong market presence, and a clear strategic vision. With this foundation, we are confident in our ability to navigate the complexities of the global landscape and continue expanding our market, enforcing our confidence in our long-term ambition for 2030. Our broad geographic presence provides resilience against regional economic fluctuation while our worldwide manufacturing footprint safeguards us with our supply chain as geopolitical complexity arise. Therefore, for 2025, we are confident to achieve organic revenue growth in the high-single-digit percentage range with a 30 basis points to 60 basis points improvement of the core EBIT margin at 2024 currency rates. And now, I would like to open the question-and-answer sessions. As usual, we will first take the question from our guests here in Basel before opening the lines on the phone. If you have a question, please identify yourself by raising your hand and state your company as well as your first and family name. [Operator Instructions]. So please, can we have the first question from the room?
Q - Maja Pataki: Yes. Thank you for giving me the chance to ask the first question. This is Maja Pataki from Kepler Cheuvreux and I'll stick to two for now. Yang, can you please talk about what kind of the head -- which of the headwinds that you've been seeing on your gross margin you expect to be repeated in 2025 and then maybe where the margin expansion is going to come from? And then, maybe a bit of a weird question, but if we go back to the slide where you show the penetration rate and the upside potential of the limited penetration. If I put on my glasses, I see assuming that 100% of people could afford the treatment, which we all know probably isn't true, so how do I read that slide? Is it that in Spain everyone can afford it, but then in the other countries we have to be more careful? And what would the potential really look like if we were to adjust for that affordability factor?
Yang Xu: Okay. Good morning, Maja, and thank you for the questions. Let me take the first one about the gross margin. Let me unpack a little bit. So as we showed on the slides, there are essentially four buckets of gross margin involvement. Some of the will be annualized, some of the one-time and some may continue. So let me just talk little by little. So the first bucket is really as expected. We have mixed impact into the gross margin, which is sometimes geographic and between different segments and so forth. This anticipate could continue but to a smaller scale into the future years. This year is quite prominent, especially because of China VBP versus North American development. The second bucket is really annualized. China full year VBP is much more related to the prior year comparable base and continuous investment in China campus. As you know, we invest in the China campus and of course, in between our full capacity transition is not necessary there and we need to invest in people and training. The third bucket is really the investment as Guillaume earlier laid out, we continue to invest in capabilities, capacity expansion, orthodontics, treatment planning, so on and so forth. Those effect would should annualize or become one-time going forward. And the last bucket is really the efficiency that we continue to expect efficiency gains in future years with the investment that we did also in the automation and the capacity utilization. So all in all, if I were to pack this together is gross margin, I see a flattish growth going forward in the future. And your question about where the margin expansion come from, it's really a lot of thanks to our operating leverage as we continue to grow while in the position of strength to invest. But at the same time, we also continue to harvest operational leverage.
Guillaume Daniellot: I'm not sure I understood well the question Maja, but I will try to rephrase it. Let me know if I well understood. It's in the Slide 19; you are mentioning that maybe a lot of those the reason for underpenetration is somewhat affordability. Is it what you were alluding to?
Maja Pataki: I guess not. I mean it's a bit difficult to explain. But if we take the number of people that place the implant as per 10,000, it looks really, really short, relatively low. But then I guess, as you say, it assumes 100% of the population would be able to place the implant. So if we adjust for the affordability factor…
Guillaume Daniellot: To place the implant or to place…
Maja Pataki: To have it placed, I'm sorry.
Guillaume Daniellot: Okay.
Maja Pataki: So I guess, the affordability has an impact, right?
Guillaume Daniellot: Yes.
Maja Pataki: So the penetration, I don't know, probably isn't as low as it appears on the slide if we adjust for the affordability. So I'm trying to understand where do you see really the -- really tangible addressable market going forward and what can you do to bring affordability factor to make it more affordable and therefore tap into the whole market?
Guillaume Daniellot: Yes. Actually and thanks for the questions, actually in many of those countries affordability is not the factor because if you look at Spain on the price of the implants, you are going to look at France, Germany as an example and it's going to be the same. We are very close to this and it's much more that France and Germany as an example are more conservative markets where you will see more free unit bridge that are going to be done, where you have some of the reimbursement that are going to drive more patients in the free unit bridge and that's where some private insurance are helping the market to develop. And you have also the fact that in Spain, there is much more dynamic DSO network than in France and Germany that are also driving, let's say significantly patient awareness when they are coming to see practices. In China, you know that affordability now is very significant. Then it's a lot also like India and UK actually where we are missing dentists placing implants. The UK as an example is now having enabled or authorized Indian dentist to join a country to be able to help with the too limited number of dentists to care with the population. Then it's -- it could be diverse. But it's not only the question of affordability. And I would say that when you look at the Spain being our reference point, we really do believe that we are not far from being able to then through different of course investment and measures like increasing patient awareness, helping dentists to improve their skills or obviously trying to drive digitalization that will also then facilitate treatment being able to significantly reach the kind of market potential penetration.
Sibylle Bischofberger: Sibylle Bischofberger from Vontobel. I have also a question about the outlook 2025 and here on the top-line, could you give us a little more colors about the regional expectations and development and especially North America, how it developed now in January and February and what do you expect with the DSOs there where the DSOs are very important and also the products -- which products are you expecting to drive growth especially strongly in 2025?
Guillaume Daniellot: Yes. I think let's to unpack 2025 from a geographical standpoint. We see Asia-Pacific and Latin America still very dynamic that they will be strong growth driver for us. We see also then the EMEA being very solid. We have seen now for the past three years in a row very solid capability of EMEA to deliver then the market share gain and also obviously increasing penetration along just the question that we have been discussing before. And North America has been obviously one of the key questions for us and we expect North America to be better in 2025 than it has been in 2024. We have seen some, well; I would say light uptick in the beginning of the year with some limited but still yes, improved patient flow in the channels and with the customers that we have been talking to. I would say it's way too early to say that it's going to be very significant or that it's going to be sustainable. But at least, we have seen better signals that we have seen in Q3, Q4 2024, which is making us that more confident that we are going to have North America in a better shape in 2025.
Henrietta Rumberger: It's Henrietta Rumberger, AWP. Just one question coming back basically to North America and Asia-Pacific. When looking at the regions, North America is still I think number two after EMEA and Asia-Pacific is the third largest area. Do you think with these dynamics this can switch at some point that Asia-Pacific will become the second largest region for your sales contribution? Thank you.
Guillaume Daniellot: That's a very good question. I would say, it has the potential to. But when you look at price level, I don't think that it's going to be in a very short-term because we do believe North America as having also very significant potential to grow. We see that in the market penetration. We see that also in the dynamic of the patients willing to still invest in their oral health. As you know, North America is -- could be very cyclical significantly, very high up and very low down. Therefore, as we think that we are going to have in a more -- we are going to be in a more positive cycle, we don't expect then the switch to be done on the short-term. But if China is starting to drive very significantly market penetration and still good dynamic in the rest of the Southeast market supported by mature area like Japan and Australia, it has the potential to do this.
Benjamin Triebe: Thank you. Benjamin Triebe from NZZ. A question also regarded to North America. A standard question these days regarding Mr. Trump and his tariffs. I know it's quite a moving target. But if -- let's just assume Mr. Trump would implement 25% tariff on med-tech at the beginning of April, how would Straumann be impacted? And how would you react to that?
Guillaume Daniellot: Well, I think it's a very unlikely scenario, and I don't think that 25% will be implemented in all med-tech. We have seen that last time where some of those measures have been implemented, and we have seen a lot of, let's say, announcements not yet a lot of conclusion but we have been planning for this on our side and the good approach for us is that most of our premium products are manufactured on the implant side in Andover, Massachusetts, and we can cover something like to 80% of what we do on the premium side. All our clear liner are manufactured in Texas in the U.S., all our prosthetics customized are also manufactured in our CADCAM facility in Mansfield which is in Texas. All our regenerative products are a lot sourced from a local supplier and LA in -- than the U.S. And we have then the remaining Neodent implants that are manufactured in Brazil. Then I would say on the total business we do in North America, a lot is already pretty covered through local manufacturing. And we would have, let's say, our lowest price portfolio that would be submitted to tariffs. And that's why all in all, for us, we don't see a major risk from our profitability side through the tariff that could be implemented from the new U.S. administration.
Benjamin Triebe: Great. Thank you. And just my second question, you said that the consumer demand or consumer sentiment has been quite soft recently. And now that means it's especially about the price. And if you say that your lowest price segment might be impacted by tariffs does this limit your capability to roll over a tariff or to increase prices because the Americans are already so aware of well pricing?
Guillaume Daniellot: Yes, that's a good question. No, I think what you have to remind on the implant side is that the cost of the product is a very small part of the cost of the procedure. And whether you are going to increase your price by 2%, 4%, 5%, 7%, the implication for the total implant price for the patient is going to be insignificant. That's where it's much more for afterwards, managing the competitiveness of your portfolio versus competition, much more than impacting any demand that we would have in North America. And I don't think that the tariff would be impacting actually the price level on the patient side. I think these were all questions from the room. Chorus call, can we please have the first question online.
Operator: The first question from the phone comes from Richard Felton from Goldman Sachs. Please go ahead.
Richard Felton: Thank you very much. Good morning. Just two questions for me, please. And both of those are going to be on China. So first of all, what is your expectation for potential additional rounds of VBP in China? And do you assume any impact in your 2025 guidance? Secondly, can you provide any color on how moving to local production in your Shanghai campus this year is going to affect your cost base and margin for that market? Thank you.
Guillaume Daniellot: Yes. When it comes to China, VBP 2.0 has been announced for then the early 2026. Then we have not planned any specific impact during 2025. We might have some limited slowdown or we expect limited slowdown in the Q4 2025 because we think the major impact on the patient price has been achieved with the VBP 1.0. Some dentists are expressing the fact that if the price to patients would be decreasing, then the procedure would be not very profitable at the dental practice side, then that means that they might not be pushing that implant procedure anymore. And I think that would be counterproductive to what the Chinese authorities are trying to achieve. Then the major slowdown that we have seen in Q4 2022 before the implementation of VBP 2023 than first quarter has been linked to a huge communication for the China authorities about the significant drop in price from the patient standpoint. Then we don't expect that this year. Still have to be proven because nobody knows exactly how VBP 2.0 is going to be then structured, but at least that our ongoing assumption.
Yang Xu: And Richard, now I will take your second question, the margin impact with China campus or local production. So first, as we know that China production will be squarely local for local. That is a strategic decision. And because of the volume itself will sustain, be able to sustain that. So as you see our cost basis or COGS about 25% of our revenue, of course, when you locate some of the production into China, then there are some elements, particularly in the labor component of the COGS that will be less pronounced or more cost effective than being produced elsewhere, particularly in Switzerland. This is number one. So in the long run, you would see there is a small portion of the COGS that will be very beneficial for us as production locally. In the meanwhile, in the very short-term, I will just continue to see that because the China campus is ramping up a period of time. So in the very near time, 2025, that's what we baked also into our margin guidance. In the very near time, the facility utilization will not be at its peak yet. So there's some bearing to take it down a notch. Lastly, I would say China manufacturing also had a benefit in terms of our geographical currency match. As you know, some of our currency headwinds oftentimes comes from that we do not have perfect match in terms of revenue and footprint in terms of cost, and this one will help us a little bit as well.
Operator: The next question comes from Hassan Al-Wakeel from Barclays. Please go ahead.
Hassan Al-Wakeel: Hi, good morning. Thank you for taking my questions. A couple on the U.S. for me. Guillaume, when we met a couple of months ago in the U.S., you talked about that market having trust and that Q2 should see an improvement. What are you observing year-to-date? And do you still expect a better Q2 and second half? And then is mid-single-digit growth or even mid to high-single-digit growth, a reasonable expectation for 2025 in North America, given some competitive noise we are hearing? And then secondly, what are your expectations for the orthodontics market in North America in 2025? Competitors talked about some competitive pressure on pricing from Chinese players. What are you seeing here? And finally, how are you progressing on the uptake of aligners in the specialist space? Thank you.
Guillaume Daniellot: Yes. We were -- when we met in the U.S., we were, of course, planning a very clear sequential improvement quarter-by-quarter because the announcement of the Fed was that they would decrease interest rate also from that perspective. With that new administration, obviously, and everyone is seeing this. I think the Fed is like us taken standstill and they are going to look at how they are going to move those rates down in the future with limited kind of visibility for the time being. Then we were then thinking that the second quarter will be already some improvement based on the initial decrease of the interest rate that has been done during the fourth quarter that we have seen. And I still believe that we will see some of those then the improvement moving forward, also by the fact that the patients have been, for some of them waiting long enough and some are deciding to move to treatment as we are hearing for some of our customers. Now when it comes to total year, we are not giving precise guidance per region. But obviously, when I'm saying that then the North America will be better in 2025 than 2024, as we have done low-single-digit, we are going to go, of course, in the higher categories. When it comes to orthodontics, yes, I think the market is much more, let's say, much less resilient than implants. We have seen that a lot of the aesthetic cases have disappeared when we have a more difficult macroeconomical environment and the ones that are staying are much more really the functional cases that are really needed to be performed. Then as much as this kind of macro will improve, it will help the overall market. Once again, as we said, and that's why we are confident to grow our orthodontics franchise, and we are starting from a low base, we have the capability then to grow our customer group and then being able to still have some growth generated by this segment. Pricing is an interesting topic. They are new competitors on the orthodontic space, especially focusing on the specialist side. And we see pressure on the ASP when it comes to the specialist segment that we see less on the restorative doctors or the GP side because the -- of course, the competition is not at the same level. Then we have been so far focusing on the general practitioner because of our go-to-market approach because of our technology. And this is what we are going to continue to do. Then while I think in some geographies, ASPs will still be then under pressure in some ways, I think when it comes to North America, we have not seen major challenges on the GP side for the clear aligner segment.
Operator: The next question comes from Brandon Vazquez from William Blair. Please go ahead.
Brandon Vazquez: Hey, good morning, everyone. Thanks for taking the question. First, maybe just a follow-up on part of the last question to ask it more poignantly in the U.S. or especially in North America, a lot of competitors have been making investments within their implant salesforce and really making a push here to kind of spend some of the share losses presumably to you all. So just an update on through 2024, any notable changes that you're seeing on the competitive side on the implants. And then as you go into 2025, what you're kind of expecting from competitors? And then, as a follow-up question, maybe Guillaume, you can spend a couple of minutes just talking about what's the early feedback you're getting from key new products like iEXCEL, AXS and the SIRIOS scanner as you guys kind of just give us a little update on what dentists are liking about these new products. Thanks.
Guillaume Daniellot: Yes, we -- thanks, Brandon for the questions, which generally speaking don't react to competitor statement because of I think we don't know what's happening on their side. We are focusing on customers. And so far, when we have been delivering our value proposition when we are investing in our go-to-market, we have not seen different or any kind of more important positions that we had in the past. And this is why, as you can see, we have been able to gain market share also in the fourth quarter when it comes to the implant side on both the challenger and premium segments in North America. Then we are going to continue focusing on the customer, focusing on innovation and education in order that we can keep growing our shares in that part of the world. And obviously, making sure that all the new technology we are bringing are going to deliver the expected value at the dental practices side, which is the best way to keep loyalty but also than to gain competitors' users. When it comes to our new product, yes, iEXCEL is really having very strong positive feedback. It solves not only then as we have expressed a complicated, I would say, inventory in dental practices, but it also helped significant clinicians that were using competitive implants to be more efficient on the clinical side. We have just highlighted again the fact that iEXCEL is fostering our latest technology that are Roxolid that is unique in the donor space, which is allowing clinicians to place lower diameter implants. Why this is important, not only because you are saving than the healthy tissue, like you keep more bone, which is important for us to integration. But in many cases, you also avoid to have bone grafting in some patients that would need this that is either push patients not to take the treatment and obviously, increase the cost of the treatment by adding the bone grafting procedure. Then the Roxolid per se is a very significant differentiator versus any other competitors that are using titanium alloy. Our SLActive is obviously a very important surface treatment, which is also unique and helping in any of the cases that the clinician is facing. Now I think we are not talking very often about those issues. But one of the major challenge that very often dentists are facing is diabetics patients. And you know that diabetics patients have challenges in the healing and making sure that you can use the best potential surface is ensuring the clinical success rate with any compromised patients that you can have. Then as you can imagine, a patient clinicians using this kind of SLActive, which is a large part of what we do in the U.S. is having the peace of mind in any patient that is going to come in to have a very high success rate. And Roxolid and SLActive are obviously then the major differentiator for iEXCEL, 2D, of course, in the addition of this new design, which is allowing us to have one surgical kit, one prosthetic connection facilitating the discussion with the restorative dentists and also then the staff that has to take care of all the different elements of the portfolio. That's why we are really, really confident about iEXCEL. And we are just starting now in Europe in all the different geographies in Europe that we have launched during the January sales meeting. And we do believe that we are going to gain the shares that we are looking for and that we set as an objective for ourselves. We said 10% more market share in the next four years for apically tapered and fully tapered premium segment, which means an additional -- a little bit more of CHF200 million incremental top-line, and that's truly what we are still striving to achieve. Latest one that I can say is SIRIOS, our intraoral scanner, which is complementing very well in our portfolio of intraoral scanner. I think having one equipment is not enough today because you need to support clinicians digitalizing their practice and everyone is not having the same expectations from a technology standpoint and from also the kind of investment they are ready to do. You have very advanced practitioner or specialist, where I think price point is not a topic. And that's why we are very proud about the partnership we're doing 3Shape, allowing us to integrate that 3Shape TRIOS 5 and latest technology, they are ready to release with our Straumann AXS and of course, for all restorative dentists or all emerging markets, having SIRIOS, which is allowing us to address a much wider then segment when it comes to dentistry is allowing us to increase significantly adoptions of digital technology and obviously, the workflow that we want to bring together with, which is the UN!Q and Smile in a Box. SIRIOS has been launched then the end of November. Feedback has been really positive about it. It is on the entry segment of iOS, but we have very, very strong expectations. And I have to say, as an example; the first weeks of SIRIOS full launch in countries like Brazil, like emerging markets have been very, very successful. Then again, I think what is important is to restate our objective with this. We are here to make sure that we can connect all our customers with our AXS platform. Then our digital strategy is an enabler to be able to penetrate even more everything, which is related to implant treatment and orthodontic treatment.
Operator: The next question comes from Victoria Lambert from Berenberg. Please go ahead.
Victoria Lambert: Thanks for taking my questions. I've got two, please. Just on the digital dentistry, it sounds like your competitors are sounding a bit more bearish on the outlook for intraoral scanners going forward this year. What is your outlook? I know you have a tiered offering, so maybe you'll see clinicians opting more for the lower-tiered products? And then my understanding is you produce the SIRIOS product, mainly in China. What impact could U.S. tariffs have on that business? And then, lastly, just the expected FX impact on margins for this year. Last year, you guys gave a range. I think it was between 100 and 200 bps headwind. Yes, any color would be helpful. Thank you.
Guillaume Daniellot: I take the first one. Yang, I'll leave you the second one. We are really optimistic when it comes to our digital strategy. And we are very optimistic when it comes to our digital performance in 2025. We believe dentists are ready to really bring technology on Board. They just need to have the right product for what they want to achieve and the right service and support because it's not because you are buying an intraoral scanner that you are becoming a digital practice. You need to have support in implementing it. You need to train the staff. And I think this is one of the major strengths of Straumann as a leading player. We have the capability and the infrastructure to support customers, implementing new technology and this at different price points. Then it's going to be the same, whether it's going to be in China, in Brazil, in Europe, in North America. And that's why, yes, our perception is really very optimistic, and I invite you to come at the IDS in Cologne in March in a couple of weeks to see the digitalization offering that we are then going to present, which is really, really convenient for clinicians. And I would add on top that the people dimension, as I expressed before is critical, that's why we're training all our sales team to be at ease with new technology, which is one of the key conditions also to drive confidence at the clinician side.
Yang Xu: And Victoria, if I take the FX question, you're absolutely right. Last year, we had at constant currency 27.6% of EBIT percentage margin. And the actual currency that should be became 26%. So that implied a 160 basis points of FX headwind in 2024. So that was quite significant. And why that is, is broad-based. Swiss franc continues to strengthening against many, many currencies. Now the interest effect is when you look into 2025, if you say, if we're just to take a spot of today at the freeze, you see the FX impact is very muted. That means very little impact. Now a lot of those is being led by the strengthening of U.S. dollars. So you can never say for sure that if this trend is continue or how much is going to continue up and down. That's why we always say let's control, what we can control, let's expand our margin on a constant FX basis. So that hence the 30 basis points to 60 basis points of guidance. If you were to model it, I would say, a very, very small negative impact, if there is any, but we shall see.
Victoria Lambert: Great. Thank you. Sorry, just on the digital dentistry question, I think the bit that wasn't answered was just on the SIRIOS scanner and manufacturing is in China, where you might move this if there are U.S. tariffs -- with the U.S. tariff situation?
Guillaume Daniellot: The U.S. tariff situation is not clear for the time being. And I think with regard to the positioning of the SIRIOS scanner, the 10% as the way it is for the time being announced in the China tariff would not have any significant impact on what we're planning to do with SIRIOS in North America.
Operator: Next question comes from David Adlington from J.P. Morgan. Please go ahead.
David Adlington: Guys, thanks for question. Just on Slide 18, interesting chart is showing that you're accelerating your market share gains at 1 point in 2022, 2 points in 2023, and 2 points in 2024. I just wondered if you could call out the biggest drivers of those accelerating gains and how much of that is down to China. And then, thoughts going forward in terms of how sustainable that is? And do you think you're taking share from the smaller players that your larger competitors or both?
Guillaume Daniellot: Yes. Thanks, David. I think it's a good question because we have been pretty consistent in gaining share on the premium side. When you look at the past, even if I can take the past five years, one acceleration, we see two acceleration effect. The first one has been China, obviously, totally well spotted because this has been a very significant differentiator of volume and value gain versus competitors especially on the premium side in this part of the world since the VBP implementation, which has been Q1 2023. The second one is on the challenger brands. Something which we also expressed a couple of times is that we invested in our specific go-to-market for challenger brands, and this is really paying off for the past, yes, I would say, 12 to 18 years -- 18 months. Some of the good results that we see in EMEA is also coming from the fact that we have been preparing to Neodent launch quite some time ago, building up the credibility of the brand in those specific markets, being able to be now truly competitive with the local champions that we are seeing in all those small markets. And the fact that, obviously, those local champions with the new regulation that you know, for example, in Europe that our MDR are a little bit constrained from an innovation standpoint. The MDR is obliging every companies to bring clinical evidence for any new product that you should come with the market, which was not the case before. And then it represents a much more significant investment for those smaller companies. And we believe that one of the -- that's a good opportunity for us moving forward in those challenger segment to keep growing significant shares by the fact that for us, those kind of investments are regular. We are always bringing clinical proof in any innovation we are doing. And for the next three to five years, we should see opportunity also in significant market share gain on the value segment.
Operator: The next question comes from Graham Doyle from UBS. Please go ahead.
Graham Doyle: Hi guys, thanks for taking my questions. Just one firstly on sort of margins and how it ties to organic growth. And then the second one, just on the balance sheet. Just on organic growth, we've seen it -- it's obviously been pretty consistent low-double-digits post the COVID period. But if you compare core EBIT growth over that period, it's been fairly stagnant. And if we were to do the same pre-COVID, typically, core EBIT growth was well above organic growth in terms of revenues. So I mean, is it just costing more to generate this growth? Are there significant investments that are happening, which bear fruit later on, it would be good to get a sense of that? And then the second point is around the balance sheet. There was a sizable expansion in inventories just to understand where that came from and why that's happening would be super helpful. Thank you.
Guillaume Daniellot: Yes. Thanks for the question. I think we are talking about two very different period of our organization. When we have been pre-COVID, our obviously EBIT profile was not as high as we are now, then it was very important that we were able to grow our EBIT profile in line with growing our top-line because for us, it was one of the way to demonstrate that we can generate this profitability then the development. Now afterwards, when you want to keep having then growth double-digit as we have been able to do actually in the post-COVID period, it's a lot also about ensuring entering mid to long-term growth, and this has been why actually we have been clearly expressing that in our Capital Market Day in 2021 that we would enter into an investment cycle. And the investment cycle has been very critical in order to ensure that with the scale the company, with the size the company is reaching in order to be able to drive profitability at the same speed later on, we really need to increase our infrastructure, improve our infrastructure and especially on the digital side, but also including new expertise on the people side to be able to face this digital era. This is actually what we have been doing as we expressed then since the end of 2021. It was in November 2021, our Capital Market Day. And then we have started our digital transformation. We have started a lot of development also from specific innovation on the orthodontic side in order that we can build then this additional business. And this is why you are seeing a different correlation between top-line growth and EBIT line growth. When we are going to have all those kind of investment done, and I'm giving you just a couple of examples in order that we can have a very strong infrastructure to help our company scaling the S/4 HANA project that we are engaged, the entire supply chain improvement, which are all digital transformation that was -- that is internally facing that, obviously, it's not here out there, as you can see with the clinician digital transformation that we are doing, will allow us to create those kind of operational leverage that we're looking for when those investments will be done. Then that's really a very interesting question, and that's in line with what we have planned to do as an organization in order to manage the different cycle of growth.
Yang Xu: Graham, your second question is about our balance sheet in terms of inventory. First of all, I have observed, we grew significantly our market share broad-based and our volume growing even faster, especially in the market that we're expanding and in the market such as in China. So what we're doing in deploying our inventory is, number one, that we sustain our very high growth; and number two, to continue to replenish our safety stock; and number three, with new product launches. As you have observed, we also have many, many product launches broad-based in many geographies. So those are the things that we take pride actually to be able to service our customers at a high rate, and we're very happy that we continue to do that despite significant growth in our volume worldwide. At the end, when you look at our days on hand, it's not -- it's actually very consistent. It's actually a lot lower than pre-COVID time. So we're happy with the inventory. Can we do even better? I think we can, but otherwise, I'm not concerned about our inventory level. Our balance sheet continue to be very strong.
Graham Doyle: Okay. Maybe just a quick one. Would you be able to help us on Latin America in terms of just 2025, how you should model FX just because it kind of obviously, there's a big step-up in the FX headwind, presumably hyperinflation, but just what we should think about as real pure organic growth and how that translates into actual revenue growth, just so we were modeling that correctly.
Yang Xu: We always on model and our guidance is always on constant currency. So when we said our high-single-digit that inclusive of the -- that is purely on our organic growth from all regions. So number one. And number two, when you look at in Latin America, where you're probably referring to Graham is about the Brazilian real. And I think Brazilian real itself is depreciating as much influence on the U.S. dollars. So on the print, you could see that in terms of revenue, the some small headwind, but Latin America, as a total of the group is -- it's at a percentage you can observe. Number two, we produce -- continue to produce our Neodent brand in Latin America. So that on the edge would be a little bit more of a tailwind in terms of the Neodent brand margin. But at the end, most of them are still in the inventory. So you would not observe a significant headwind or tailwind in the print side at the group level, either side.
Graham Doyle: Okay. Okay. I can follow-up later. Thank you.
Operator: The next question comes from Dylan van Haaften from Stifel. Please go ahead.
Dylan van Haaften: Hi guys, just two from my side. So first one, just on DSO promotion budgets, if you could tell us anything about if there's any changes in behavior on DSO promotional activity, specifically in the U.S.? And then, just the second question, just on distributor dynamics and what you're seeing in China. Could you just remind us how indirect you are there and what your visibility is typically in terms of stocking? Thank you.
Guillaume Daniellot: Yes. On the DSO side, I think we have seen -- as I expressed that in one of the call that we have been seeing and you're right that DSO were reducing the investment during the slowest moment of patient flow and especially linked to the reduction of case acceptance by the patients. And now we see things then improving. We have seen large DSOs deciding to reinvest on the communication side and thriving more than of this patient awareness and trying to drive people to the practices. Again, it's still at a low scale, then this has nothing to see with some of the investments that have been done, for example, in the middle of 2022 or even 2023. But I think we see then the more willingness to attract patients than we have seen in the second half of 2024. When it comes to the visibility in China, I think we have limited stock in the distributors in China. We have just the latest link in between the clinicians or the dental practices and us, then we have a very small then channel, I would say, from a that standpoint, meaning that, yes, it's -- we don't see any impact of any stock effect that we can have at least for the quarters to come. We have seen that already in the past, it was also difficult to be able to replenish all the different volume based on the demand, then the one of the area will be to be able to support them in being able to deliver the right product at the right moment for all the customers, then I would say no -- we have no specific worry about the inventories on this side.
Operator: And last question for today's call comes from Daniel Jelovcan from ZKB. Please go ahead.
Daniel Jelovcan: Good morning. Just one left for iEXCEL, I guess, with your four-year plan of this CHF200 million extra franchise, I guess, of course, you mentioned the drivers, but is it fair to assume that the narrow diameter so the 3.75 millimeter will play an important role, let's say, over the next few years? Or do I overestimate maybe this diameter and a question linked to that, would it make sense to rollout such a wonderful easy system also in your value segment, somewhere in the future. I understand a SLActive Roxolid and so on, you don't want to give that away to value, but maybe is that a possibility? That's the question. Thanks.
Guillaume Daniellot: Thanks, Daniel. I think to come back to that minimal invasive surgery, what Roxolid is offering to clinicians is that you can use a reduced diameter in all indications. That means I will give you an example. If you are used to -- if you would have used in titanium 4.8 on the posterior side, you can use a 4.1. If you were using a 4.1, you can use a 3.75. If you were using a 3.75, you can use a 3.3. It gives strength at all diameter by reducing the capability to use 1 diameter less you can use in every indication and which is allowing you then to increase your potential conversion rate and obviously, to leave the more bone to the patient side. And this is very significant, and you use that on all diameters. Obviously, one of the major unique side is that our let's say, workhorse as we are calling it for iEXCEL with Roxolid is the 3.75, and thanks to its mechanical and superior properties, you can use the 3.75 in all the different indications. That means also in premolar, where generally speaking, you need to use 4.1 as a minimum in all our competitive -- the competitor portfolio. And this is where for elderly people that have rather thin jaw, then it's always a good opportunity. But you can use also large diameter in immediate extraction in order to place immediately the implant and facilitate osseointegration. And then you can still use large diameter in the portfolio. I think one of the strengths of iEXCEL is giving that versatility to the clinician to be able to use exactly what you need for this case and maximizing the patient acceptance. Are we considering applying that to the challenger brands? Obviously, the answer is no. That's the huge differentiation in between premium and value, and we have been asked very often are you seeing then trading down in between premium to value because of the current macroeconomical situation. And the answer is we consistently express was, no, we don't see any really true trend of trading down just because of the significant benefits of premium portfolio like iEXCEL is bringing to the table. Now there are some parts of it that are of interest. Are we going to see people trying to imitate this? Yes, of course, it's going to take some time, obviously. But as you know, we are always working on the next innovation. And for us, investment in innovation is critical in order that we can applied all technology to the value side when we will be able to bring the next one. We are working on this as we speak, and that's why we are preparing also the long-term growth in the success of today.
Guillaume Daniellot: Well, then thank you, I would like to express our yes, deep thank you for your questions for joining us today that we really significantly appreciate. If you need further information, you will find it in our Annual Report, which has been published online today. And of course, you are welcome to contact our colleagues in Investor Relations and Corporate Communication, Derya, Marcel, and Sylvia, of course. Then that concludes our conference today. We look forward to meeting you at one of our upcoming events. We'd be delighted to welcome you at IDS and our schedule is outlined on Slide 37. We wish you all the best. Have a nice day, and goodbye from Basel.